Operator: Good morning and welcome to the Kennedy-Wilson Third Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Daven Bhavsar. Please go ahead.
Daven Bhavsar: Thank you and good morning. This is Daven Bhavsar. And joining us today from Kennedy-Wilson are Bill McMorrow, Chairman and CEO; Mary Ricks, President; Matt Windisch, Executive Vice President; and Justin Enbody, Chief Financial Officer. Today’s call will be webcast live and will be archived for replay. The replay will be available by phone for 1 week and by webcast for 3 months. Please see the Investor Relations website for more information. On this call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA and adjusted net income. You can find a description of these items, along with a reconciliation of the most directly comparable GAAP financial measure and our third quarter 2021 earnings release, which is posted on the Investor Relations section of our website. Statements made during this call may include forward-looking statements. Actual results may materially differ from forward-looking information discussed on this call, due to a number of risks, uncertainties, and other factors indicated in reports and filings with the Securities and Exchange Commission. I would now like to turn the call over to our Chairman and CEO, Bill McMorrow.
Bill McMorrow: Thanks, Daven, and good morning, everybody, and thank you very much for joining the call today. I am very pleased with our strong third quarter results, which saw EBITDA – adjusted EBITDA increased over 165% compared to Q3 of 2020 and the record results we have posted for the first 9 months of the year. Adjusted EBITDA totaled $741 million thus far in 2021, compared to $261 million for the first 9 months of 2020. We have made tremendous progress this year on our two key initiatives, growing our in-place annual NOI and growing our fee-bearing capital. We had a very active quarter, completing $1.8 billion of investment transactions, bringing our year-to-date total to $4.4 billion. Our assets under management, has grown by 17% in 2021 to a record $20.5 billion, from $17.6 billion at the end of 2020. We have a strong pipeline of new transactions that we expect to close by the end of the year, which would further increase our AUM and result in a record year of capital deployment for KW. I’d like to start by providing some perspective on what we are seeing in our markets, as real estate fundamentals continue to improve in the quarter. Global transaction volumes remain healthy, with Q3 volumes in the U.S. increasing 150% from last year’s levels, according to Real Capital Analytics. Institutional demand for real estate remains high, with trillions of dollars of capital globally that continue to search for sound risk-adjusted returns. 2021 operating metrics continue to improve for us. In our U.S. market, we saw continued impressive apartment rent growth, with rents increasing at one of the fastest rates in recent memory across all our regions. Investor demand for high-quality rental housing remained very strong and has resulted in cap rate compression and further increases to the value of our real estate portfolio. Our Mountain West apartment portfolio, which is our largest region, with almost 11,000 units, outperformed once again, driven by very attractive migration trends and relative affordability. We also saw significant improvements in our Pacific Northwest and California portfolio, as pandemic-related moratoriums began to burn off, and we expect meaningful rent growth in all of these areas over the next 15 months. In Europe, we saw outstanding performance in our UK and Dublin properties. On July 19, the UK removed all COVID restrictions. And in Dublin, essentially all travel reopened on July 26, and we saw a gradual return to office that we expect will accelerate over the next 6 months and have a positive impact on our portfolio. Strong leasing demand in our Dublin multifamily portfolio resulted in occupancy growing by over 400 basis points in Q3 to 96.6 occupancy. The key acquisitions in the quarter were 3 wholly owned with multifamily assets totaling 879 units that we acquired for a total of $399 million. 2 of these assets are located in suburban Seattle, and the third asset is located in suburban Denver. We look forward to implementing our value-add programs at these communities, which has consistently shown our ability to drive outsized returns. Our multifamily portfolio globally grew to a record 33,400 units at quarter end, including almost 5,000 units under development, which we expect to complete at yields well above current market cap rates. We’re on track to increase our global unit count to 35,000 by year end. Mary will speak later on the impressive growth of our European logistics portfolio. Our Q3 transactions grew estimated annual NOI to $413 million, an increase of $19 million in the year, and we increased our fee-bearing capital to $4.8 billion, representing a 23% growth year to date. I’m also pleased to announce that yesterday our Board of Directors authorized a 9% increase to our quarterly dividend, which now annualizes to $0.96 per share. Looking ahead, I believe the key drivers of our business will be – are well positioned with our multifamily portfolio, the reopening of our European markets, the growth of our investment management platform, and the completion of our development projects. Before we discuss these initiatives in more detail, I’d like to pass the call over to our CFO, Justin Enbody, to highlight our Q3 financial results.
Justin Enbody: Thanks, Bill. In Q3, we had GAAP EPS of $0.47 per diluted share, compared to a loss of $0.18 in Q3 of last year. Adjusted net income in the quarter grew to $112 million, compared to $27 million last year. And adjusted EBITDA grew to $203 million in the quarter, compared to $76 million in 2020. For the year, we’ve had GAAP EPS of $1.96 per share, adjusted net income of $424 million, and as Bill mentioned, adjusted EBITDA of $741 million, representing record results for the first 9 months of the year. In our co-investment portfolio, which includes our unconsolidated funds and joint ventures, we continue to see appreciating asset values, driven by strong NOI growth and further cap rate compression. This strong performance led to $79 million in gains and $46 million of accrued performance fees in the quarter. For the quarter, including promotes, total adjusted fees were $56 million, up from $8 million in Q3 of last year. Turning to our balance sheet, in August, we issued $600 million of unsecured bonds maturing in 2030. The proceeds were used to fully pay off our line of credit, as well as the remaining $296 million of our KWE bonds due in 2022, which was completed in October. We have significantly improved our maturity schedule, with no unsecured debt maturities until 2025 and nothing outstanding on our $500 million revolving credit facility. Our debt has a pro forma average interest rate of 3.6% and a weighted average maturity of 6.5 years, which has improved by 2.5 years since the beginning of the year. During the quarter, we bought back $25 million of stock at an average price of $21.55. Since the beginning of 2018, we’ve now returned $750 million, or approximately $5.40 per share, to shareholders in the form of dividends or share repurchases, which includes repurchasing 15.7, million shares or approximately 10%, of our outstanding share count. We still have $213 million on our $500 million buyback authorization remaining, a portion of which was utilized in October. And with that, I’d now like to turn the call over to Matt Windisch to discuss our multifamily portfolio.
Matt Windisch: Thanks, Justin. Our global multifamily portfolio continues to outperform, due to our market selection and our hands on asset management style. Our assets are experiencing improving market conditions, lower delinquencies and increasing rents. Positive migration trends and affordability continue to create outsized demand, in particular for our Mountain West portfolio, which saw same-property revenues grow by 11% and NOI grew by 15%. We think there remains strong upside in our Mountain West portfolio, where average rents are $1,366 per month, and as people continue to seek a higher quality of life and migrate out of higher rent, higher tax states. We are also starting to see improving trends from our Pacific Northwest and our California assets. Offices began to reopen, which has been a positive for renter demand. Rent concessions in the U.S. were down 63% in Q3 compared to Q3 of 2020, and we saw leasing spreads average a record 27% on new leases across our U.S. portfolio. We also continue to work with our tenants and take advantage of the rent relief measures that are available. The combination of these factors resulted in robust same-store revenue growth across our U.S. market rate multifamily portfolio of 8% and NOI growth of 12% versus Q3 of 2020. This represents our best quarter of NOI growth in the last 5 years. Sequentially, from Q2 of this year, revenues grew by an impressive 6% and NOI by 8%. In-place rents in our U.S. portfolio are now 6% above pre-pandemic levels. And with an average loss to lease of 15%, we believe our portfolio is set up for strong growth in 2022 and beyond. Similarly, at our Dublin apartment portfolio, we continue to see strong demand, as people begin returning to the city. This led to Clancy Quay being stabilized in Q2. And currently, Capital Dock is 77% leased and on track to be stabilized in Q4. Overall occupancy is now returning to pre-pandemic levels in Dublin. In addition to the mega-cap tech companies that have been large employers in Dublin for many years, other high-growth tech companies are looking to expand their presence in Dublin, such as Stripe, TikTok, ServiceNow, and First Data. We continue to believe in the long-term prospects of the Irish apartment market, driven by a young and growing population. Additionally, there are a large number of multinational companies with their European headquarters in Dublin, with a workforce that is more likely to rent than buy. Now I’d like to turn the call over to our President, Mary Ricks, to discuss our office portfolio and our investment management business.
Mary Ricks: Great. Thanks, Matt. Turning to our office portfolio, as tenants begin to return to the workplace, we are seeing improvements in the operational environment, including a growing number of firm requirements, requests for tours, and deals being executed. Quality in both design and construction and staff wellness continues to be an important factor as tenants are drawn toward amenity-rich buildings with ESG credentials. Thematically, we continue to focus on office tenants in high-growth and essential business sectors, including life sciences, media, and technology. When you include our suburban apartment and growing logistics assets, we believe this thematic approach positions our overall portfolio well for future cycles. A great recent example is at one of our largest office assets, 111 Buckingham Palace Road in London, where by October, we transacted on approximately 100,000 square feet of lease transactions, including 20,000 square feet under offer, which in total represents 45% of the building. These transactions will improve the occupancy significantly, from 80% to 100% in Q4, deliver 26% growth above in-place rents and 40% of the income at pre-COVID top rents in excess of £70 per square foot, compared to 15% in Q3 of 2020. Major tech firms represented 80% of the new leases, illustrating that top tenants are active in the market and willing to make decisions for the right space. 71% of our office NOI is from our European portfolio, which saw Q3 same-property revenue grow by 4% and NOI grow by 5%. These results were driven by strong rent collections, lower bad debt, and the burn-off of free rent in the quarter. With an even larger focus on employee retention, large corporate tenants are taking advantage of the benefits of modern, low-rise suburban offices, such as affordability, shorter commute times, and outdoor amenities. We continue to see this play out in our own portfolio, with approximately 90% of the NOI from low and mid-rise properties. We completed 585,000 square feet of leasing in the quarter, bringing our year-to-date total to 1.5 million square feet, with a WALT of 7.6 years. Our leasing pipeline remains strong, with 152,000 square feet of leasing completed thus far in Q4 and another 600,000 square feet in [indiscernible] that we’re actively working on closing out, giving us good momentum heading into next year. Turning to our investment management platform, we continued to see strong growth in the quarter, with our fee-bearing capital growing to $4.8 billion. This has now increased over 160% since the beginning of 2018. Our fast growing global credit platform continued to lead the charge in Q3. In July, we announced a new £500 million commitment focused on European loans, bringing total global commitments to $3 billion. In Q3, we completed $440 million of loan investments, including our first loans in Europe on a few large industrial portfolios. Our debt platform grew by 24% to $1.4 billion in loans outstanding, with $140 million in future unfunded commitments. We’ve been able to attract institutional-quality borrowers with high-quality assets to our debt platform, with an average loan size of $70 million and weighted average maturity of 4 years. We continue to see a strong macroeconomic environment in the European logistics sector. Occupational demand has driven vacancy to an all-time low in the UK of 3.4%, and yields continued to compress across Europe, due to accelerating rent growth. Our thesis from the start when we launched this platform was that last-mile logistic properties in close proximity to transit centers would have strong demand, as they allow for companies to get their products to the end customer in an efficient manner. COVID has accelerated the thesis, as online sales penetration continues to grow, with online sales making up 28% of total retail sales in the UK. Our industrial portfolio has grown rapidly, and including assets under offer, our portfolio has a gross value of approximately $1.1 billion today across 59 assets, with KW’s share at approximately 20%. We look forward to further growing both our debt platform and our logistics platform in the fourth quarter and continued expansion of our investment management business, which has, in total, $2.1 billion in future commitments from our various strategic partners. Another important area of growth for KW will be the completion of our development and lease-up projects, where we continued to make progress throughout the pandemic. Our developments, totaling $2.7 billion at cost, are being delivered with strong sustainability credentials, with environmental improvements and tenant wellness at the center of our focus. Once these assets are completed and stabilized, we expect an incremental $105 million of estimated annual NOI to KW, which represents an initial yield on cost of approximately 6%. We are nearing completion of two office properties in the heart of Dublin, Hannover Quay and Kildare Street, which total 134,000 square feet that are expected to complete in Q4 and Q1, respectively. We remain on track to complete the majority of our construction projects in 2023 and 2024, on time and on budget. Last month, we announced a new project that we are extremely excited about in a public-private partnership with Cal State Channel Islands. We are going to develop 589 residential units as part of a master-planned community in Camarillo, California. The project will have 310 wholly owned market-rate units, 170 affordable units built through our vintage housing joint venture, and 109 for-sale townhomes sold by Comstock Homes. This development sits adjacent to a 386-unit wholly owned community, which we acquired in 2016. A project of this nature was a natural fit for KW, given our broad multifamily expertise in developing both market-rate and affordable units. We are aiming to complete construction in 2024 and look forward to breaking ground in Camarillo later this month. With that, I’d like to pass it back to Bill.
Bill McMorrow: Thanks, Mary. As you can see that we have a combination of ways to further drive earnings and cash flow growth at Kennedy-Wilson. As I mentioned on the last call, we have a clear path to grow our stabilized NOI at the rate of 10% to 15% a year over the next 3 years, driven by strong organic NOI growth, new acquisitions, and the completion of our construction. We also plan to grow our fee-bearing capital and resulting fees by 15% to 20% per year over the next 3 years. The combination of these factors should lead to significant growth in both our net asset value per share and our assets under management. As we look ahead to 2022, I am very optimistic in our ability to continue expanding our business for a number of reasons. First, business conditions have rebounded as economies reopen, and we have a very healthy transaction and financing market, perhaps the strongest we’ve seen in the last decade. Second, over the last 18 months, we either grew or establish new investment platforms with well capitalized, extremely liquid, global strategic partners who have a keen desire to expand their relationship with Kennedy-Wilson. We can now creatively allocate capital across the entire capital structure and in a wide range of asset classes. Finally, our global investment team remains intact, and our global communication has never been better. I am very pleased with the progress our team has made not only in Q3, but over the course of 2021. I’m also reminded of the importance of long-term relationships, both internally and externally to KW. Although I’m biased, we have an exceptional global team that has been working together for decades and our internal communication, as I mentioned, is the best it’s ever been. This fact, combined with very high-quality properties in the right product category, located in diversified and growing markets, has set up KW for excellent long-term growth. I’d like to thank our tremendous KW team, our shareholders, our board, and our partners for their continued support of Kennedy-Wilson. And with that, Daven, I’d like to open it up to any questions.
Operator: [Operator Instructions] The first question will be from Anthony Paolone of JPMorgan. Please, go ahead.
Anthony Paolone: Great. Thank you. My first question is for Bill. I mean, given you’ve got a deep level of experience doing this for a long time, how are you thinking about inflation, or what does that kind of suggest you do from a real estate point of view, strategy, geography, property type, etcetera?
Bill McMorrow: Yes. Well, I think there is many bosses to that, Tony. I mean, as you’ve heard from Matt and Mary, the growth in our top line rents is really increasing at a very rapid pace, way far ahead of any inflation rates. And I think about it in terms of our own exposure. And really, when you think about it, it really primarily relates to what we’d be doing in the construction and development area. And when we started really building 7 or 8 years ago, we made a decision that the vast majority of our projects were going to be handled through what we call GMP contracts, which is – it’s a fixed-price contract that you do with the general contractors. And so, I would say, into the 90% range, everything that we’re doing has got a guaranteed max price on it. And I think also, we’ve demonstrated over now a very long period of time between our two construction teams in the U.S. and in Ireland, which now total probably close to 35 people, we have the capacity to bring things in on time and on budget, so I’m not really concerned about inflation as it relates to KW. And then, the only other question that really comes up in this whole discussion is what’s happening in the supply chain issue in terms of really getting materials not only to the construction projects, but to the CapEx that we’re doing on properties that we’re just doing value-add to. And we really haven’t seen any impact in terms of our ability to get the raw materials, the lumber, the steel, furniture whatever it is that we need at the properties. We have had very little impact. And we – not that it’s any bellwether here, but we see the supply chain issue as it relates to cargo moving and all of that as really a temporary kind of situation. We happen to sit here, at least in Los Angeles, at one of the largest ports in the United States. And really, the issue is not whether things are getting shipped. It’s just getting them off the ships and trucked. And so, I think we will see that the trucking companies figure it all out. They will hire more people. They will deploy their trucks. And I think by certainly, the middle of next year, this whole discussion will, I think, be less relevant. So that’s kind of how we’re looking at everything.
Anthony Paolone: Okay, got it. Thank you. And then, just my other question is, in the past, you’ve got experience in lodging and other property types outside of multifamily and office. Are you spending more time in any other areas, just given liquidity out there and need to go find returns in other places?
Bill McMorrow: Well, I think that really, when you think about it, our – clearly, the multifamily is the biggest part of our business today, and that’s one that we really want to continue to grow. We think that’s really the best real estate asset class, but we also very much, as Mary pointed out, like the industrial space. And so, both here and in Europe, particularly in the United Kingdom and Ireland and Spain to a secondary degree, we want to see that business grow. The office business here in the United States, just – it has nothing to do with occupancy, but because of the lease terms here, which generally are in the a 3 to 5-year range, don’t present as an attractive an option for us in terms of our capital because we like to get cash flow out of our properties every month. Where we do find it attractive though, is actually in the markets that we’re in, in Europe, particularly the United Kingdom, because the lease terms there can be 10, 15, in some cases, 20 years. And so, you’ve got income certainty for long periods of time, which also means you’re not putting additional capital into those buildings every 3 or 4 years. So we’re very, very focused on really kind of those three asset classes.
Anthony Paolone: Great, thank you.
Operator: The next question comes from Derek Johnston with Deutsche Bank. Please go ahead.
Derek Johnston: Hi, everybody. Good morning. I just wanted to focus on multifamily and value-add. How substantial today does remain the value-add opportunity in the multifamily book? I do believe some projects were slowed or maybe halted during the pandemic. Wondering if they have been reignited and where you’re focusing your value-add spend as clearly, the IRR is a pretty solid use of capital, given today’s compressed cap rates? So just any elaboration there would be helpful? Thanks.
Bill McMorrow: Yes, Derek, thank you. Good points. The – just to be clear, we made a very, very conscious decision in March of 2020 that we were not going to stop any construction or capital spending on our development projects, unless we were mandated by that local jurisdiction, the government entities that were in that particular geographic area. So we were able to hold true to that, so we pushed through all of our construction. And really, the only place where we saw, I would say, modest time delays, was in Ireland, where they shut down construction sites for a couple of months. But everywhere else that we operated, we didn’t have any slowdowns at all. And so, I’ve learned over time, the result of that is that then you’re finishing brand-new properties at a time where, in some cases, other people might have stopped their capital spending, given the uncertainty that existed in 2020. So we’re fortunate now, as I think Mary pointed out and Matt pointed out, that we’re continuing now to roll off new finished properties. We just finished a big property up in Boise now that’s running at full occupancy. We’re finishing two really first-class office buildings in Ireland that we’ve got great leasing interest in. And so, the key in our business as long as you can is really just to not stop unless there is some external reason to stop. But I’m going to ask Matt to amplify on the other part of your question.
Matt Windisch: Thanks, Bill. Yes. So, I would say across the U.S. market rate multifamily portfolio, there is roughly 40% of the units that we have not renovated yet, so there is significant upside to doing the renovations. And if you look at the return on cost on those, they can range from 15% to 25% when we are putting capital into these units. I would say, additionally, we certainly, in the Northern West, continued doing renovations throughout the pandemic. We were slower in California and the Pacific Northwest, just given that rents were kind of flat. And so we are now re-implementing some of those value-add initiatives. So, we have got a combination of a 15% loss to lease, and then 40% of the portfolio that we can invest capital into the units. So, we think there is some good runway here to grow rents over the next couple of years in that portfolio.
Derek Johnston: Okay, great. No. Both comments, very helpful. The loan book was also pretty active in 3Q at over $400 million. Could you go into some detail on the type of loans you are seeing and what you are interested in funding?
Bill McMorrow: Yes. I am going to start and then turn it over to Matt, Derek. But I think the key there is that it’s been really interesting. And I really think over time, this will become probably the largest part of our fee-bearing capital, the loan business. But we are transacting in many cases with people that we have known for years, decades in some cases. And so, not only – and then, the other part of it is that since we are active on the equity investing side, and we are also active on the construction side, we know costs. We know values and we know costs. And Matt and his team are also able to leverage the other parts of our company that – for example, our multifamily group, where he has done a number of loans to multifamily developers, not construction loans, but transition type of loans. And so, we are able to leverage all parts of our platform. And I would say the other great thing about the debt business is it gives us a great information flow in terms of what’s going on in various markets. And I have always felt that, even though, yes, we are in the real estate business, more than anything, we are in the information business of knowing values and what’s going on in a variety of markets. So, it’s been a – really from a standing start in May of 2020, it’s been quite remarkable to see the growth. But Matt, do you want to give some more…?
Matt Windisch: Yes. I think just as a starter, I would say that we are really focused on institutional quality sponsors, very high-quality assets that sit within the geographies we already own and operate properties in, so then, that gives us a competitive advantage. And our average loan size is $70 million, so we are doing relatively large loans. For the quarter, to give you a sense, we did one loan that was secured by a hotel, one loan secured by a multifamily property, one loan secured by an office building. And then we did a few loans secured by industrial. So, it’s across the gamut of product types. But if you look through the entire portfolio, it’s still a majority multifamily and office, just like our equity portfolio. But we do have the flexibility to invest lower down in the capital stack for hospitality and retail. Where, to-date, over the past few years, we have not been investing in the equity, we are still investing in the debt in those product types.
Derek Johnston: Thanks guys.
Operator: [Operator Instructions] The next question will come from Sheila McGrath of Evercore ISI.
Sheila McGrath: Yes. Good morning. Bill, your advantage in investing in the Mountain states a while ago was that there wasn’t much institutional investor competition. I am just wondering if that’s still the case, and maybe you could describe the competitive landscape in Mountain states versus Pacific Northwest and other markets?
Bill McMorrow: Yes. Well, thanks, Sheila. Yes, it takes a long time to get yourself established in any new markets. We started probably 16 years or 17 years ago. We made a conscious decision, and it had nothing to do with what was going on in any way in California, but we wanted to diversify our income streams into other Western geographies. And so, between Seattle and Salt Lake City and Boise, Idaho, and now Albuquerque and Denver and Colorado Springs and so on, we have got a really, really great footprint in these other markets – in some cases, smaller markets. And so, it’s not easy. It takes time. And so, we are probably the largest multifamily owner now in Boise, Idaho, and I don’t have any statistics on the greater Seattle market, but we would be in the top five, I am sure, if not the top two or three. So, it takes time. And I think two, generally speaking, although this is a big generalization, the institutional deployers of capital, the big companies, don’t go to these smaller markets. So, it’s never not been competitive. Over my three decades here, it’s always competitive. But I think we have a very big advantage in these smaller markets because we have got, as they say, boots on the ground and we have got assets in these markets. And the other thing that I can’t stress enough times, Sheila, is that if you look at the people that run our multifamily business, they have been doing it here at KW for 17 years. And so that has – that really has been, over the last couple of years, as we all dealt with all kinds of different issues related to this pandemic. The real great strength that we have had has been the fact that our teams have been together for all of these periods of time. So, I mean yes, there is always competition, but I really feel like the relationships – and that was kind of what I was alluding to when I talked about the relationship, both internally and externally. I think we are viewed as a very, very good counterparty in every market that we are in because we always do what we say we are going to do. And so, I would like to think that for all of those reasons, we have a competitive advantage.
Sheila McGrath: Okay. That’s helpful. And then on stock buyback, just curious to your thoughts with acquisition cap rates compressing meaningfully, particularly in multifamily, does that make stock back – buyback more of a priority, just your thoughts there?
Bill McMorrow: Yes. Well, I think the stock buybacks, like any company, it’s always been a capital allocation decision. And we have got – like any growing business like we are, you have got to make capital allocation decisions, whether it’s to new acquisitions, whether it’s to your development pipeline. And so, the way we look at it is just part of the whole menu. We still believe that the stock price is a very attractive price. And I think particularly with the dividend increase that we did, we feel that the overall total yield opportunity in our stock is really good. And as we said on the call, even though it was past the quarter in October, we continued to deploy capital into the stock buyback. And it’s well known I have been personally been a buyer of our stock over the last 9 months to 12 months, so I think that kind of tells you how I feel about where the values are.
Sheila McGrath: Okay, great. And then on affordable housing, there are some programs in DC that are under discussion, allocating more capital to affordable housing. Just wanted your thoughts on, do you think that’s another avenue of growth for KW? And maybe you could comment on that new acquisition in Southern California, because that seem to have affordable end market rate opportunities?
Matt Windisch: Yes, Sheila. So, we are well aware of the legislation in Washington that will impact kind of the amount of bond cap available for affordable housing. I would say in a number of our markets, we continue to have availability, but there are certain markets where the bond cap is getting smaller and smaller, so it is making it more challenging to invest in certain markets right now. So certainly, that will be a huge help to the affordable housing business, which clearly, there is a huge need for affordable housing across the U.S. and particularly in our markets. We certainly have other ways to deploy capital into affordable housing without the bond allocation, but it certainly does help. So, it is something we are closely monitoring and we are hopeful that we get a good result there. And then, with regards to the project in Southern California, yes, I mean it’s a project we have – we own the adjacent property for 5 years now, and we have been working on this land acquisition for several years. And so, it’s unique to be able to have the ability to build both market-rate housing and have the affordable housing capability with our partner to be able to deliver really all of these units in-house.
Sheila McGrath: Okay. Thank you.
Operator: The next question is from Jamie Feldman with Bank of America/Merrill Lynch.
Jamie Feldman: Great. Thank you. I guess as you take a step back and think about all the growth you have had over the last couple of years in terms of both partners and product type, what do you think you are still missing from the platform at this point?
Bill McMorrow: Well, I would say the main focus that we – I think we are in all the right businesses now, and now it’s just the ability to continue to grow those businesses. And so that all relates to your team and the people you have. And so, we have had really great success on the people front in terms of new hires over the last 12 months to 20 months. I would say Kennedy-Wilson, in our real estate world, is a very desirable place to work. And so we are attracting really high-quality younger people into our business. And then of course, we have the one, I would say, senior addition to our team in Gary Palmer here this year. So, we are in all the right markets and all the right businesses. And so now you just have to make sure that you have got the right team in place to support that growth.
Jamie Feldman: Okay. That’s helpful. And then you announced a nice dividend increase. Can you just talk about how you think about whether it’s AUM, third-party AUM, or assets under – or just kind of NOI from the platform? I mean how do you – how can we tie kind of growth in the business to growth of the dividend going forward?
Bill McMorrow: You mean like as a policy – I am not sure I follow your question.
Jamie Feldman: Well, just to understand how you think about – I guess the number one is what drove the dividend increase. You don’t have a required payout under your structure.
Bill McMorrow: Right.
Jamie Feldman: So, is there a good way to think about how you and your Board think about when to grow the dividend and what the key driver is?
Bill McMorrow: Well, I would say we don’t have any formal policy in terms of some percentage or yield that we are trying to hit. And so it all – but I think, as Justin pointed out, we have been – for a company our size, we have been very conscious of returning capital to our shareholders. And so, the dividend increases all really relate to how we view future cash flows. And so I think it was – and we have had great success this year reducing our unsecured debt costs. And so we look at kind of net cash flows. The natural result out of all of this is that our assets under management are going to grow significantly over the next 3 years to 5 years. When you talk about the NOI and you talk about the fee-bearing capital, the assets under management are going to come right along with that. And so, I think in nine months, to have 17% growth off of reasonably big number, that’s really good. And we are going to continue to evaluate the dividend over time. But as I said, it really relates to our very optimistic outlook about future cash flows. That’s why we did the dividend increase.
Jamie Feldman: Okay. Thanks for your thoughts.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Bill McMorrow for any closing remarks.
Bill McMorrow: Well, as I said in my closing remarks, I really appreciate everybody’s interest in the company. And as I always say, any of the four of us that were on the call today are always available to answer any questions that come up post this call. So, thank you again and have a great day.
Operator: Thank you. The conference has now concluded. Thank you all for attending today’s presentation. You may now disconnect your lines. Have a great day.